Operator: Good morning, ladies and gentlemen and thank you for standing by. At this time I would like to welcome everyone to Stellus Capital Investment Corporation's Conference Call to report Financial Results for its First Quarter 2016. At this time all participants have been placed on listen-only mode. The call will be open for question-and-answer session following the speakers’ remarks. This conference is being recorded today, Friday, May 6, 2016. It is now my pleasure to turn the call over to Mr. Robert Ladd, Chief Executive Officer of Stellus Capital Investment Corporation. Mr. Ladd, you may begin your conference.
Robert Ladd: Thank you and good morning, everyone. Thank you for joining the call. Welcome to our conference call covering the quarter ended March 31, 2016. Joining me this morning is Todd Huskinson, our Chief Financial Officer, who will cover important information about forward-looking statements as well as an overview of our financial information.
Todd Huskinson: Thank you, Rob. I'd like to remind everyone that today's call is being recorded. Please note that this call is the property of Stellus Capital Investment Corporation and that any unauthorized broadcast of this call in any form is strictly prohibited. Audio replay of the call will be available by using the telephone number and pin provided in our press release announcing this call. I'd also like to call your attention to the customary Safe Harbor disclosure in our press release regarding forward-looking information. Today's conference call may also include forward-looking statements and projections and we ask that you refer to our most recent filing with the SEC for important factors that could cause actual results to differ materially from these projections. We will not update our forward-looking statements unless required by law. To obtain copies of our latest SEC filings, please visit our website at www.stelluscapital.com, under the Stellus Capital Investment Corporation link or call us at 713-292-5400. At this time, I'd like to turn the call back over to our Chief Executive Officer, Rob Ladd.
Robert Ladd: Thank you, Todd. We completed the first quarter with an investment portfolio of $353 million, a $3.5 million increase from year-end. There were no payoffs during the quarter although we had some amortization. We were essentially now fully invested and our SBA debentures are fully funded. An update in terms of current activity in the portfolio, we may have payoff during the second quarter from approximately $10 million to $20 million in the aggregate. With respect to earnings or earnings per share of $0.33 fell just short of our normal aggregate quarterly dividend of $0.34 per share. Regarding portfolio quality, our portfolio of 40 companies has an overall risk rating with approximately two, were on plan which is consistent with the prior quarters. I do want to report the weighted average overall leverage of the operating companies in the portfolio is approximately in the mid-4s and the weighted average EBITDA of the operating companies in the portfolio is in the low-to-mid $30 million range. And these two factors have been relatively consistent for the prior 12 months. Regarding our loan to Binder & Binder, the bankruptcy case is proceeding albeit slower than we would like. The dip loan was reduced by $2.5 million from principle repayments during the second quarter which now brings the loan balance to $2 million. And we have not purchased any shares on our previously announced share repurchase program. And with that, I’ll turn over to Todd to cover the financial results.
Todd Huskinson: Thanks Rob. Our total investment income for the quarter was $9.5 million, substantially all of which was interest income. Operating expenses totaled $5.4 million for the quarter and consisted of base management fees of $1.5 million, incentive fees of $1 million, fees and expenses related to our borrowings of $1.9 million, including commitment and other loan fees, administrative expenses of $300,000 and other expenses of $700,000. Net investment income for the quarter was $4.1 million or $0.33 per share. Net increase in net assets from operations totaled $2.5 million or $0.20 per share which includes net unrealized losses on the portfolio of approximately $1.7 million. As of March 31, 2016, our portfolio included approximately 37% first lien debt, 39% second lien debt, 20% mezzanine debt and 4% equity investments at fair value. Our debt portfolio consisted of 76% floating investments subject to interest rate floors, and 24% for fixed rate investments. The average size of our portfolio company investments was $8.8 million, and our largest portfolio company investment was approximately $21.7 million at fair value. The weighted average yield on all of our debt investments as of March 31, 2016 was approximately 10.6%. Additional information regarding the composition of our portfolio is included in the MD&A section of our quarterly report on 10-Q that was filed yesterday evening. With respect to liquidity, at March 31, 2016, and May 5, 2016, we had $109.5 million outstanding under our credit facility. Our unsecured bonds have a carrying value of approximately $25 million and will mature on April 30, 2019. Finally, we had fully drawn our $65 million of available SBA guaranteed debentures which remain outstanding as of May 5, 2016. Since March 31, 2016, we’ve received approximately $2.6 million of principle repayments on first lien debt are in possession loan to Binder & Binder. And with that, I'll turn the call back over to Rob.
Robert Ladd: Okay. Thank you, Todd. And Karen, we may begin the question-and-answer session please.
Operator: [Operator Instructions]. We’ll take our first question from Robert Dodd with Raymond James.
Robert Dodd: Hi guys. On the Binder & Binder, shall we see partial prepayment on that half of it, I mean currently. And you mentioned it’s going slow, I mean, can you give us any more color on how much unrealized it gets every quarter, how much longer you think this process is going to go and I realize that’s pretty hard to predict currently?
Robert Ladd: Yes, good morning Robert. So, case is proceeding. There are matters in front of the court currently. And we would expect during the quarter, the second quarter there will likely be some further resolution of the case. So, I had said on previous calls we thought that it would be wrapped up in this quarter. So it may be but it’s not been concluded yet. So, it could, again and this is really just speaking with respect to a confirmation of a plan and its ultimate consummation. So I’d say there will be more news during the quarter that we’re in. So, probably not materially extended but just I would like to see a little bit farther along as of today than where we are.
Robert Dodd: Okay, great, great, thank you. On the repayment front, I mean, obviously I was expecting a little bit more in Q1, it’s very volatile. I mean, you gave some indications that we might see some more in Q2. What’s your confidence level on that because as you say, you’re basically pretty full invested at this point? And so the only capital within the BDC, you have to deploy and stay active or use to buy back shares comes when you have a repayment. And obviously that actively has been pretty low. So, any confidence level on what that’s going to do?
Todd Huskinson: Yes, and with respect to repayments?
Robert Dodd: Yes.
Todd Huskinson: Yes. So the other repayments and try to each quarter on this call, advise everyone of what we have good insight into. And as you know, they some happen and some don’t and something may pop-up that we’re not aware of but we try to report on what we’re aware of at the time. So, as of at this state, we have one situation that we believe is very likely to be refinanced which will be the low-end of the roughly $10 million level. And then the upper limit is because we’re aware of one other situation that may pay off towards the end of the quarter. Both would have called premium [ph] associated with them because they’re relatively new loans.
Robert Ladd: So, in terms of assuming that we have say example, $10 million reduction, as I said on the previous call, last call, we would certainly consider using some proceeds to repurchase shares. Fortunately our stock price has moved up meaningfully since the last quarter and since the first quarter, this actual quarter. And so we’re at a much higher level than we were then. But as I said on the last call, that if we did repurchase shares, we would take some amount of proceeds from payoff to reduce leverage and also to buy back shares. So, the same plan would be in place going forward. So, we now have, one; we have the Binder $2.5 million reduction on the dip which is not fully expected so we have that in terms of cash. And then we may have some other payoffs. So, that’s certainly an opportunity for us depending on the how the stock is trading. But again, we want to be careful here with respect to leverage. So payoffs allow us to do that. With respect to replacing the payoffs within investments, you should know we are active in the marketplace. We do have an institutional plan [ph] that co-invests with SCIC. So, we are active in that business. And historically what we found is within a month or two of a payoff we have been able to replace those payoffs with new loans or new investments. And probably 2015 was a very good example of that, meaningful amount of payoffs and all were replaced. And in fact we grew the portfolio. So, I would be optimistic that assuming that we’re not buying back shares at an attractive price than we will over time be able to replace the payoffs with new investments.
Robert Dodd: Got it. Thank you. I appreciate the color.
Robert Ladd: Thank you.
Operator: [Operator Instructions]. We’ll move on to Chris Kotowski with Oppenheimer & Company.
Chris Kotowski: Yes, I wondered if you can give us your thoughts on funding a new and what process you have to go through to get additional SBA funding and how you would manage that.
Robert Ladd: Yes, good morning Chris. So, the original license that we have provided support equity capital up to $75 million, of which our current subsidiary has $32.5 million of equity. So there is ability to grow that entity and then of course using debentures to make it larger from there. So, that’s an option for us. But we need to be careful with respect to our current leverage at the regular YBDC if you will. So, yes, we could grow the entity in a greater amount but we’d also want to do that in respect to leverage position we are, that we have.
Chris Kotowski: But is that a goal to expand the funding for the SBA?
Robert Ladd: No, I’d say it’s not a near-term goal. We’ll have to look at what payoffs we receive during the year. And we have had discussions previously about it and can we look at the other way that of course we could grow with the evaluation and new equity. But given our stock price we have no intention of doing that.
Chris Kotowski: Okay, all right. That’s it from me. Thank you.
Robert Ladd: Thank you.
Operator: [Operator Instructions]. We’ll move on to Alex Gates with Clayton Partners.
Alex Gates: Hi guys, actually all my questions have been answered. So thanks very much.
Robert Ladd: Okay, thank you Alex for joining the call.
Operator: [Operator Instructions]. And gentlemen, it looks like we have no further questions at this time.
Robert Ladd: Okay, thank you very much. And thank you everyone for your support. And we look forward to speaking with you in early August. Bye-bye.